Julian Díaz: Good afternoon, and thank you for participating in this call for the First Quarter 2020 Trading Update. Presenting the updates here today are myself, Julian Díaz, CEO; and Yves Gerster, CFO. As in previous calls, we are going to use the presentation disclosed this morning in our website. Please let's move to Slide number 3. We have here the agenda, I will first review our business performance in the periods then Yves will present the initiatives have recently launched to support our finance structure. And to conclude I will return for a trading update on our performance in April and conclusions.  Before starting with the updates, I would also like to remind you that for this year for the Q1 and Q3 performance Dufry will only provide a trading update and discloses full financial results for to half and full year periods. This approach has already been communicated in the Q3 results presentation 2019. Moving to Slide number 5, I would like to highlight the most important topics of the first quarter 2020. Our turnover in the first three months of 2020 amounted to CHF1.4 billion, which based on constant currencies is a decline of 20.8% on the previous year. To manage the current crisis, Dufry has immediately set up a dedicated committee at the level of the global executive committee in January, as I commented on in the previous call, and implemented our comprehensive action plan to drive sales, reduce fixed cost and safe work liquidity. I will discuss the plan in more detail later during the presentation.  Moreover, I want to highlight the important financial measures, we have been implemented during the past few weeks. In the discussion with the banks, we have been looking at several possible approach to strengthen the financial structure and the liquidity position, while at the same time reducing as much as possible dilution of our existing shareholders and implemented solutions which could be executed into our plan. There were a result of these negotiations and initiatives is that first, we have signed agreement with the banks to waive covenants until June 2021 and increased our financial alliance by CHF425 million. Second including the share placement, the new convertible bonds and cash available, we have now reached a pro-forma liquidity position of CHF1.6 million. Combined with a comprehensive cost cutting initiatives implemented in parallel, this allows us to sustain a prolonged period of disbursed and the deterioration and obviously we can reach the next cash generation cycle. Looking forward, we are ready to resume operations as soon as situations allows. And we have already developed our reopening plan on our base of location by location without individually consider basing profitability of scenarios by operation. This allows us to add flexibly and adapt to the business to the local opportunities as soon as travel restrictions are lifted. In this context, we expect to see first domestic -- obviously first development in domestic flights, as I comment on in previous calls, followed by continental flights and in the middle term for example, the second half probably of 2020 intercontinental flight.  If we move to Slide number 6, we can see that the turnover as I mentioned reach CHF1.4 billion in Q1, equal to minus 20.8% in constant currency.  Looking at the business evolution of the first quarter, we see that it has been characterized via completely different development and changing business performance in each month. In January, the first part of January we started with accelerated, organic growth then during the second part of January and due to the crisis starting in Asia. We reached in the full month of January, our performance of plus 7.8% even though it was positive. In February, we saw sales starting to slow down and we reached minus 7%. If you know, the main input was from Asia and international destinations with Asian customers. So that the organic growth for the first two months reach minus 2.3%, and in March we saw an increased number of travel restrictions being implemented, especially, during the second part of March.  And that's drastically reducing passengers floats at April, this result in a sales decline for the month of March close to 56%. Organic growth was in the quarter minus 21.4%. The impact comes from the vast majority from the like-for-like performance and the respective decline in passenger numbers across all divisions. We have seen many airports being closed or shops having to close because of government regulations regarding especially bans to international arrivals to countries or limitations of movement of people.  If we move to Page 7, we can see more details of the growth component, as I mentioned before with the main impact of like-for-like. With respect to the change in the scope, you can see the positive impact generated by the two acquisition executes in 2019 including the Vnukovo operation in Moscow and Brookstone shops across several airports in the United States.  Let us look at Slide number 8. Look at the FX evolution on the first quarter of 2020 which had a negative impact of minus 2.8% in total sales. This shows a fewer acceleration as compared to the fourth quarter of 2019 and reflects the ongoing appreciation of the Swiss franc versus our main currencies. U.S dollar minus 2.9%, Euro minus 5.6% and British Pound minus 4.6%. If we move to Slide 9, we can see how the current crisis impacted each division, which Asia-Pacific and Middle East minus 30%, as I said first division started to be impacted in January and North America minus 24% being exposed the most. Followed by Europe minus 20% and Central South America minus 16.3%. With the respect to Central and South America which is the less impacted during Q1, we need to consider that there travel restrictions have started later than in other parts of the world.  Let's move to Slide number 10. Moving onto the division Europe and Africa, organic growth in this division reach minus 20.2% in the period. The format was negative across most locations in the division and particularly in Italy, Switzerland, UK and Spain with negative double-digit growth. Turkey posted a positive performance in the quarter, supported by a very good passenger traffic engine in January and February, but declining significantly much due to the travel restrictions. And the performance in Africa was a stable with the growth in the first two months of the year being offset by the slowdown seen in March. If we move to Slide number 11, we can see that over the full quarter the division Asia-Pacific and Middle East was the division impacted for the longest time, resulting in an organic growth of minus 13.2%. Within the division, Asia-Pacific was the most impacted region with a negative performance during the whole quarter. In Eastern Europe, Australia and the Middle East most operations both negative organic growth. So as we move forward as shown in the Slide 12. In North America, organic growth was minus 24% in the period, we've had a slowdown in both segments, but especially in duty-free, which is exposed to international and Chinese customers. Here we also saw a temporary closing of a high number of shops, especially during the second part of March. If we move to Page 13. Central America and South America performance was less impacted among all divisions with organic growth coming in minus 15.3%. Here the most important were the restrictions implemented in March, performance in Central America and the Caribbean was impacted to a lesser extent and reported a single-digit negative organic growth while the impact in South America was more pronounced.  Moving on to Slide 14, you will see the details of the new openings and the refurbishments executed in the first quarter. These openings and refurbishment happened most of them during the January and February. The new openings for a total of 2,800 square meters are distributed across all divisions with a new shops in the U.S., 5 stores in Brazil, 2 in Perth, Australia, and 1 in Finland and Mexico.  In the chart below, we see that with respect to the total refurbished retail space of 5,500 square meters. The majority renovations were related to a Stansted Airport in the UK, and the Guayaquil operation in Ecuador with 2,600 and 1,100 square meters respectively. As starting in March, we have a stopped few of the refurbishment in order to reduce CapEx in the short-term, but we will assume to renew shops as soon as the overall situation normalizes.  If you will move to Slide 15, and we have also continued to sign a new contract, expanding our footprint with 13,800 square meters of shops to be opened in 2020 and 2021. The largest shop here is a duty-paid. The Circle operation at Zurich Airport which will open during Q4 of this year. With respect to expansion, the chart of bottom with 36,000 square meters in the current pipeline shows that the travel retail industry continues to propose new opportunities and we can benefit from this overall growth trends.  If we move to Page 16, and in this slide, I would like to give you an update on our action plan to manage the crisis. As you know already in January, we have established a special committee at the level of the group executive committee, which has implement a comprehensive set of operational initiatives to drive sales, save fixed cost and safeguard liquidity. This committee supported by 13 dedicated teams centralized driving and supervising the execution of all the initiatives. Important to note is that we have based the action plan on different scenarios considering different levels of full year sales declines from 40% to 70% and allowing to selectively adapt measures to the business performance. This scenarios include the following cost reduction and saving levels. In a decline of business by 40% to 70% the concession-related expenses would amount between 32.500 expressed as a percentage turnover in a pre-IFRS16 situation. Personnel expenses to be reduced by 20% to 35% on the previous year and other expenses to be reduced by 26% to 30% on the previous year. Let me take you through the initiatives in more detail. In order to reduce as much as possible the fixed cost, we have adapted the operating structure of the company to reflect the current situation in the business environment and to level as much as possible of flexible cost structure.  Looking at the cost reduction measures in detail the main initiatives are as follows. The reorganization of the personnel growth at the level including participating in government schemes, implementation of voluntary salary reduction scheme in borrowing both management and employees. I must say that we have received great support and response from all our teams shown by high adherence to the scheme who then more we established a high freeze including a limitation to appoint temporary staff and that reduction of personnel expenses in headquarters and divisions and country offices. With our landlords, we have currently a lot of discussions to the negotiate concession fees. In Jeanette, we have received positive feedback and support by the majority of the landlord and some airports have already granted reliefs. Here it is important to note that first for the vast majority of our concessions, we pay a valuable fee and second that for our last part of the contract which contained a fix component, we have received consent from the landlord to waive the MAGs or are still in discussions to reduce rent and concession. Moreover, if April's have closed operations on their own or if local legislations does not allow shops to be open or understanding is that for this period we are extent for paying rent.  Moreover, we are reducing as much as possible all operating expenses and monitor every single payment at group level with dedicated team. Looking now at the net working capital and CapEx initiatives, we have also implement several initiatives which are well supervised by a dedicated team at group level. Along these initiatives, we are negotiating with suppliers for highest flexibility payment terms and affiliate promotions for reducing volumes. We presently reduced CapEx to sell and we will continue to tightly manage then going forward.  For 2020 the overall CapEx level will be conceivably lower as compared to the previous year. In total dimension initiative at networking capital and CapEx level, total cash savings of around CHF150 million in the full year 2020. In order to maximize sales in the locations still open and also during the recovery phase we have set up several initiative including global promotions and focusing the assortment of offering core product categories and exclusivities to drive sales and volumes and allowing to increase conversion and maximize sales per customer.  I will now hand over to Yves for representation of the detail initiatives implemented to support our financial structure and liquidity position, Yves?
Yves Gerster : Thank you, Julian. And Good morning or good afternoon everyone, depending from where you're listening to the call.  On Slide 18 I want to take you through the individual initiatives, which we have implemented in the past few weeks and which strongly support our financial structure and liquidity position. First, we have received commitments by a group of relationship banks for an additional 12 months committed credit facility of approximately CHF425 million with two six months extensions. This new facility ranks pari passu with the existing syndicated facility. This new facility replace existing uncommitted facilities. The agreement is subject to final documentation, which is currently being finalized.  Second, we have successfully executed a private placement to institutional investors by means of an accelerated book building procedure of 5 million shares from our existing authorized share capital and 500,000 treasury shares. The placement has generated close proceeds of CHF151.3 million. Worth mentioning here is that this share placement has also been supported by members of the Board of Directors and the management with a meaningful amount. Third, we have issued the senior unsecured convertible bonds. Due to strong demand, the initial principal amount of CHF300 million has been increased by CHF50 million to a total size of CHF350 million. The convertible bond carries a coupon of 1% payable semi-annually. The conversion price is CHF33 corresponding to a conversion premium of 20% over the reference share price. Unless previously converted, redeemed or repurchase and cancelled, the convertible bonds will be redeemed as far as maturity on May 4, 2023. Moving on to the next Slide. In this, it is important to note that our bank consortium consisting of 25 international banks has approved our request to waive the current financial covenants until and including June 2021 and to establish an increased threshold of net debt by adjusted operating cash flow of 5.0 instead of the former 4.5 for the covenant testing in September and December 2021. This agreement is signed and has become effective. Moreover, if we look now at the proposals to be made to the upcoming ordinary general meeting on May 18, the Board of Directors reconsidered its initial proposal and decided to cancel the 2020 dividend payments thus avoiding a short-term cash outflow of close to CHF200 million. Furthermore, the Board of Directors proposed to the upcoming ordinary general meeting to increase the conditional share capital to CHF63.5 million, divided into 12.7 million registered Dufry shares with a nominal value of CHF5 to enable the physical settlement of the convertible bonds of the conversion. In summary, the equity measures presented today as well as the new credit facility, the cancellation of dividends, and the other operational cost cutting measures being implemented, will significantly strengthen Dufry capital base and liquidity positions. The initiatives are designed to help us to continue operations until the next cash generation cycle in 2021, even under a severe scenario with sales reducing by 40% to 70% on a full year basis, while also providing us with enough flexibility to react to business opportunities arising in the context of the current situation. This concludes my presentation and I pass the floor back to Julián.
Julián Díaz: Thank you, Yves. I will try now to summarize in three blocks. One is regarding operation. The other one is financial structure and the other one is communication. One, regarding the first part, operations, I think in the first quarter of 2020 the turnover has been dramatically impacted by the crisis and we have reached CHF1.4 billion equal to a minus 20.8% in costs and currencies as compared with last year and minus 23.6% in reported growth. Looking here at the trends, we have seen sales levels is reducing in months -- in the months of February as expected, as more locations were impacted in April. Periodic sales were at minus 94.1%. As of January, we have implemented a comprehensive action plan to drive sales, reduce fixed cost and safeguard our liquidity position. The action plan considers possible sales decline scenario for the full year of between 40% to 70% of sales, which depending on the scenario will result in a different cost cutting depending on the type of costs from concession fees to personnel expenses and general expenses. With respect to the networking capital and CapEx initiatives, we target savings of CHF150 million. Furthermore, in view of the reopening, we have already developed the respective plans for each location. Obviously, based in recovery – gradual recovery. In this case, the plans are based in the profitability of each single location to drive sales and volumes in parallel with the recovery of the different operations.  In the second block, you see in terms of enhance of financial structure. The pricing in the positive side, I want to highlight again the successful implementation of several financial initiatives execute in a short period of time. New bank facilities, covenant holiday, capital increase and convertible loans. Then integrity allows us to sustain and even prolong an impact period to obviously reach the next cash generating cycle in the second or third quarter 2021.  And the last part is in terms of communication. We have already communicated that we have withdrawn our guidance for 2020 business year as the business environment is very dynamic and visibility is still very low. When the business will reinitiate and how is it going to reinitiate it is still uncertain, but what we have seen is a significant number of new scheduled flights for June and especially in July. From my side and from the company side, this concludes our presentation and we can now move on to the Q&A session. Thank you very much.
Operator: The first question comes from the line of Jon Cox with Kepler Cheuvreux. Please go ahead. 
Jon Cox : Two questions for you. The first one is really you talk about this pro-forma cash and liquidity you have of CHF1.6 billion as of the end of March, which obviously includes a convertible and all the new facilities etcetera. Can you tell us what that figure was at the end of April, as you've kindly given us your 94% sales declined in April? And then the second question, just on the sort of recovery or whatever may happen, Julian, I think you've said before that, your worst case scenario is for 2019 sort of business or passengers to be back to where they were at the latest in 2022. In the meantime you've seen ACI and IITA and Boeing and Airbus and quite a few airplane operators, actually saying the figure that's more likely to come back maybe 2024 or even 2025. I was just wondering if you thought about a when or if you've changed your opinion on when we may be back to those 2019 levels. Thank you. 
Julián Díaz: Regarding the cash position as I told you last time in April, we were expecting between CHF200 million and CHF220 million I think it was CHF215 million, cash burn and it’s already confirmed. You can reduce from the CHF1.6 million to CHF200 million that I mentioned at that time and it was confirmed. This is just for the confirming the first thing. The second is having more obviously difficult glass because there are many different scenarios now. And I think if you look at it, I don't want to mention a specific obviously institutions, but if you look at for example ACI, they are – sorry, IATA, and I think this is obviously one of the more relevant ones. They are talking about minus 57% decrease in income per passenger for the airlines in 2020, we are looking at worst case scenario minus 70, and then in terms of recovery when I said that time and this information that we have also collected still is a very short of the information. In any case that the full recovery of these minus 70% is scenario will be in 2022 and I don't have any other information.  You'll see that there are more available information we can share information, but still the visibility is very short. I sustain that with minus 70% scenario talking about sales basing a significant number of dropping passengers today I think what is someday our valuable information is between 50% and 60% drop in number of passengers in 2020. I don't chain any I prefer to say that the information that we have collected says that in 2022, the number of passenger could recover. It could be 24, it could be 25. I don't have a clue, but I don't know what the rationale is to say 22, 23 or 24 today, its just very early.
Jon Cox : Thanks for that. I wonder if I can have another go. Basically you said the last time around you, you think the cash burn should get down to around CHF70 million from May as you sort of really, tying into the screw on all of the cash outflows. Can you just confirm that figure if sales are down.
Julián Díaz: No, I didn’t say that, maybe I explained myself. You asked me the question the last time. What is the burn case scenario. For me case burn case scenario is set of sale. With set of sale I maintained the same thing CHF70 million, CHF75 million. When I think somebody asks me the question about May and I say in May, the cash out external, the cash burn scenario, the cash out scenario was half done in April. It's around CHF90 million, CHF95 million but in a standard way with no sales in let's say, May or June or July scenario I maintain the same thing the CHF70 million, CHF75 million. In May will be -- due to previews of the commitments of payments or cash outs during the first quarter will be around half of April. But from now on, if there are no sales, the cash burn a scenario CHF70 million, CHF75 million
Operator: Next question comes from the line of Jaafar Mestari with Exane BNP Paribas. Please go ahead. Mr. Mestari your line is open. You may ask your question.
Jaafar Mestari: Just two questions for me, please. The first one is, could you please just repeat your operating cost assumptions? You're speaking very fast. I think I heard you say in your minus 40% of revenue scenario, your assumption is that rents would represents, I heard 38% of revenue. 
Julián Díaz: For 40% scenario its 32.5. In minus 70% scenario is 38%. 
Jaafar Mestari: Thank you. And that's to be compared to the pre-IFRS numbers. 
Julián Díaz: If I seen -- in IFRS is still we are not going to end. I really sit here. I thought that was easier to compare pre-IFRS16 for the reason I mentioned. 
Jaafar Mestari: So I think the reference number is 28%. So obviously, it is close enough. But just to be very clear, you don't assume all of the contracts will have fully variable rents. You do assume that the rents will --
Julián Díaz: We're assuming -- depending on the location because there are rents that have no mass are related with the square meters and things like that. But in most of the cases, these -- let's talk about the mind 70%, minus 70% and 30% is considering a vast majority of the MAGs and relief.
Jaafar Mestari: Okay, so some MAG relief, so 100% MAG relief. 
Julián Díaz: I don't remember now but most of them. You can count on most of them because today we have most of the negotiation processes are very advance or really today closed down. And we are already in the first month.
Jaafar Mestari: And my second question is on your reopening scenarios. Do you have flexibility to choose your own schedule for reopenings? Or are you pretty much tied and committed to the schedules that the airports will decide? As an example, could you choose to delay a certain reopening if the airport sets we go live tomorrow morning, but you think that realistically the expected footfall is still too low? Or are you absolutely confident that it's better to have some sales, even if it's 10% 20% and then you're confident that paying sales teams, paying support teams, paying rent is worth it, even if there's only a small recovery. 
Julián Díaz: Well, it's also difficult to answer the question. What we have is a plan that first identify basic to think profitability, location by location meaning shop by shop. What should be the scenario that we would like to reopen? But there is not one single negotiation process open today with anybody in the world yet in order to discuss how the reopening will happen. Because, I think the first thing probably will be airports especially with better understanding about how the pattern is evolution during the next month is going to happen.  As soon as this is a challenge. We need to obviously meet with each one of the landlords and discuss what reopening plan should be, but what we have done in this line, what we have identified location by location basic profitability, what are this -- what the shops are that we should open in that case of the reopening of an airport. But then depending on the number of passengers and depending on the airport enter, we don't control obviously the second part. Today, if you ask the question, do you asked me the question. Do you know, if tomorrow you will be obliged to open all the shops in one single location. I don't have a clue. I don't know. Because then, the landlord could afford it. But the plan is basically taking into consideration what I mentioned.
Operator: The next question comes from the line of [Michael Bow with Sona]. Please go ahead.
Unidentified Analyst: Few question from me. It would be very useful to have I know these are exceptional times, and I know that you agreed not to file quarterly financials. But the reality is it's very hard to model that business without being able to see what's happening to it on a quarterly basis. Is there any chance you could release Q1 financials so that we could do our own math and trying to gain further insights into the various business plans?
Julián Díaz: The answer is no, we cannot only we disclosure first that we were not having the intention because first of all, this business was very volatile due to the seasonality and that was the main reason and that time. If there is volatility now is settle because obviously we don't have any business and the reality of the business is completely different and in the past. And we have not yet already decide what is the best way of approaching the business from the accounting point of view. We are discussing with auditors, and with other people and we don't want to immunization disclosure information that is not completely outdated and I'm sorry, I cannot answer the question because it's not possible.
Unidentified Analyst: The second question is with respect to the various loan options in your P&L and what you've commented on, because it was rather rapid around concessions, personnel reduction, other line items onto the 40% and 70% decline in business?
Julián Díaz: Sorry, I didn't understand the question. 
Unidentified Analyst: I mean, the U.S. personnel
Julián Díaz: Let me explain, obviously I mentioned in the lines of the P&L and that are related with the operation. I think below as today it's easier because nothing has changed. In fact, we're below the operational performance or you have these difficult lines of the P&L financial results and that's all, but this is something that nothing changes so far.
Unidentified Analyst: What I'm asking you is how much for example, your concession rates will come down by, how much for example, your personnel costs will come down by under the [indiscernible]. 
Julián Díaz: I think I explain it in a scenario minus 40% concession fee, we are expecting will be 32.5 in any scenario minus 70% is the concession fee percentage on turnover, we expect is 38%. Personal expenses in any scenario we have minus 40% minus 20% in any scenario minus 70% or minus 55% drop or lower business ventures. In other expenses if minus 26% is minus 40% scenario or minus 38% is a minus 70%. Now, surely we go through the industry properly.
Operator: The next question comes from Rebecca McClellan with Santander. Please go ahead. 
Rebecca McClellan: Well, most of my questions answered but just is there any such a situation of where locked down has been easing that you can sort of talk us through in terms of what you're seeing domestic traffic? Or is there anything that you can give us to understand what's going on the ground? 
Julián Díaz: Hello, Rebecca, I think during the last two weeks what we have seen still is very, very, very low increase in the U.S., I think especially in the West coast, we have seen an increase compared with sales and if compare the sales with previous weeks, this is probably the best example. The other division is still in May are at the same level. 
Rebecca McClellan: So, what you’re saying is on the best case, self contractions verses have a lesser extends to what they were perhaps in portal. 
Julián Díaz: If you compare the sales in the last two weeks in the U.S. let's talk about the U.S., mainly because the West coast, if you compare the sales in the U.S. the last two weeks with the sales one month ago in order to compare with a period of time where you would only was very hard, they sales had increasing, increasing in percentage high, but it's still very low. 
Rebecca McClellan: Right. And that's obviously just domestic traffic, right? 
Julián Díaz: In Canada is international because obviously when you say U.S, we are talking all the divisions,. In terms of U.S the increasing in Canada, again, very low numbers but increase in duty-free in Canada, especially Vancouver, the increase in the domestic traffic in the U.S.
Rebecca McClellan: Right. Okay. And I think Ryanair announced that they were going to resume 50% flight schedules or something as of July. Did you get visibility on what these plans are? And can you talk about in terms of the airlines.
Julián Díaz: It is very difficult. Rebecca, we’ve seen this a lot more scheduled flights for June and July a lot more. And with a numbers, what I heard, because I called some of the airlines directly is they want to move between 15% and 25% of the passengers. 
Rebecca McClellan: And in this case open just such a minimum necessary stores to accommodate that for the passenger flow. Right? 
Julián Díaz: Yes. This is the plan we have is a minimum requirement in terms of profitability per shop.
Operator: The next question comes from the line of Gian Marco Werro with MainFirst. Please go ahead. 
Gian Marco Werro: Hi everybody. For my side only a quick question also on network capital and the CapEx improvements that you mentioned. So the CHF160 million in the press release, I just tried to understand a little bit more the background behind it, so I can understand that these are a rough estimates for the current full year. But however, if I just look at the inventories by the end of 2019, which was over 1 billion on the book. Can we expect that especially now with the current quarter, you are significantly reducing networking capital by stronger amounts than what you mentioned for the full year. 
Julián Díaz: Okay. The networking capital when you don’t have sales and you buy merchandize and from certain times in percentage, first of all is not going to be an issue. Because you can no compare it but in terms of values. I think the target that we have in terms of net working capital is reducing net working capital between CHF10 million and CHF20 million. This is something that we announced probably three or four calls ago. The difference with CHF160 million is basically a stop in CapEx. And this is stop in CapEx these CHF140 million this stopping CapEx will depend on the situation of the reopening. Because if we start with a significant level of activity, we will invest more. But the basic minimum CapEx that we will invest this year, including January and February and middle of March that were invested before obviously, the crisis is around CHF59 million plus that the total CapEx that we are expecting in a maximum crisis scenario these year. That CHF70 million will be around CHF80 million CHF085 million. This is the maximum scenario. Then there is a gap to the CHF140 million depending how the company will evolve in terms of sales. In terms of inventory, Iit's obvious that we are not selling anything now and that we are trying especially really our stock and of solid sales products around CHF20 million This is the reason of drop of the CHF20 million not because we are selling more or less, we are not selling anything now. Is because we already know merchandise, what is it considered obsolescence or merchandise that is close to the expiration day and it is a CHF20 million improvement in these two lines no because we are selling more or less.  But if you want to model despite I would say in terms of CapEx. I would to put of the companies and initiated during the next 30 or 60 days, I will consider CHF140 million saving compared with previous year. And in terms of the net working capital in equal terms, it will be the target to be the same in value compared with previous year. But in this case what we are trying is to save CHF20 million due to off solid sales and two expiration days. 
Gian Marco Werro: Okay, thank you. This means that you're at the moment just trying to sell back non-durable goods to suppliers or even to other retail channels. So all the durable goods to keep them in stock. 
Julián Díaz: Yes. The good products are in the stores because we want to sell us from the supplier. 
Operator: The next question comes from the line of Neill Keaney with CreditSights. Please go ahead.
Neill Keaney: Hi, guys, thank you for your time. Just a couple of technical questions for me. You mentioned with regard to the covenant waivers that you've secured that until June 2021. And then renegotiated to five times threshold for September and December. Can we assume, therefore, that the covenant test will take place quarterly going forward? I believe it was semi-annual prior to this.  Secondly, can you confirm if a breach of covenant would be just a drop off event? Or would that be an event of default, which you would need to get through or ways until your senior services agreement?
Julián Díaz: So the first one, the testing has been done on a quarterly basis already before. So that's nothing new. We have quarterly covenant testing and we going forward, we'll have quarterly covenants testing once the covenant holidays over. To the second one, a breach of the covenants would result in the event of default.
Operator: The next question comes from David Holmes from Bank of America. Please go ahead. 
David Holmes: Just a quick question on leases. You mentioned you were fairly advanced stage of negotiations with partners. I just wonder if you can comment at this stage whether you expect that to result in any deferrals in a manner of guarantee payments to the common, how we should expect that to be a drag on cash?
Julián Díaz: Well I'm going to split this type of results for the negotiation process because as I said, my year review of the partners are aligning with the idea that we need to solve these in order to create a sustainable business. If we have 1400 contracts or I don't know how many and only a small part of these contracts are related to our possible mark, I mentioned in the last time is around 20% to 25% of the contracts, who are related with different approaches in terms of mark, maybe we are not to say for 100%, but I think these percentages that I provide, we are in -- we are considering these type of possibilities.
Operator: The next question comes from [Kelly Gonsalves from Zurbe]. Please go ahead.
Unidentified Analyst: Quick clarification. So, you can find out that the cash burn from a number is CHF70 million to CHF75 million, if maximum, if you have zero percent -- I mean can you maybe also help us and can you elaborates on how we should be thinking or working digital movement this year next year, across your three cases. If possible thatnk you. 
Julián Díaz: Regarding the customer instead of sales scenario, I confirm it could be CHF70 million to CHF75 million probably depending on the circumstances, but yes, I confirm. Regarding the working capital, I think for 2020, what I suggest is that in terms of no percentage forget now the percentage because everything is going to be totally different. You have to do follow-up the networking capital amount, minus CHF20 million, amount meaning is similar amount that we had at the beginning of the crisis will be along in 2020 this is the intention minus CHF20 million. In 2021, I don't have the information here, but we will discuss it with you in another call.
Operator: The next question comes from line of Edouard Aubin from Morgan Stanley. Please go ahead.
Edouard Aubin : Just two or three questions for me. The first one is Julian, you were kind enough to give me your assumptions in terms of entry costs, under different scenarios. Could you just please elaborate a little bit into that what you are expecting in terms of belonging and government support because in some of the main markets, some governments that can be UK have announced that the support would be kept quite materially over the next few weeks or months. So that's question number one. The second question is on the cash balance side to come back and that again, that you gave us the CHF70 million to CHF75 million sales scenario. But try to ask the question, again just actually could the cash burn increase actually further in this scenario where the amples reopen where your sales are very low, so what could be your maximum potential cash burn if you could answer that question that would be super helpful? And last question is on the UK and Gatwick as I'm sure it's quite likely to lose a VA, in Norwegian. So its very important, ample for you. How material should they lose, some of the airline. How material could it be for you? Thank you. 
Julián Díaz: The first question, government support how long they last. You know that there are different approaches depending on the government. I can answer the question in one number. If you asked me about the UK, we have one obviously deadline in Spanish, another one. There is hundreds of a programs support. But I think all these program support related with the crisis and also with the tourism and our aviation. The crisis understood us obviously lockdown and things similar to that is not the only supportive decision that obviously established the support by the government. I don't know hundreds; I cannot tell you a specifically one number.  Regarding the cash burn, I have repeated the CHF70 million, CHF75 million because the setup sales scenario, if you tell me 10%, 20% of sales, 50% of sales what I said at the time that we announced the financial initiatives is that we've minus 70% is scenario in sales we were in the position to continue until the next cast circle. We've initially started base in financing increase, financing facility increased. This is what I mentioned at that time and I confirmed now. Then is depending is what I cannot tell you 20%, 50% is different obviously but the company is preparing a minus 70% is scenario and with the financing increase lines increase that we have agreed with advance to continue to the next, say second quarter. Its going to be April and May. Regarding the UK and Gatwick, I don't know what to say. We are obviously following up all our partners and we will maintain and sustain the same level of business. But I don't have any comments to that. I think this is situation that which is probably discussing with British airways and other airlines.
Operator: The next question comes from the line of Stefan Alb with Sierra Global. Please go ahead.
Stefan Alb: My question is related to basically, I guess clearly, you mentioned 20% to 25% of negotiations are with airports where you have some kind of MAG. Is it possible that even very difficult sort of partner as I could actually maybe give you some leeway? Or you will have to pay the full MAG in January? And so we will see the cash burn actually deferred in 2020, but it will show up in the beginning of 2021. That's the first question. The second question I have, clearly with this times e-commerce is would be nice to have some kind of way to liquidize some of the inventory. Is there any initiative that you're pursuing with respect to either setting up your own e-commerce abilities? Or through partners to try to basically liquefy somewhat the inventory to get rid of stuff that you can't send back to suppliers. But which you can at least get some cash from through perhaps platforms or so on? So those are two questions. I wouldn't mind buying a perfume for my wife for example. Although that would be sort of a -- if the question is whether the suppliers allow you to sell in a different sales channels, then your physical channels.
Julián Díaz: Yes. The first question, regarding AENA, my reference is that you have to obviously go back to AENA and China. I don't have any questions regarding AENA. I mean, I have a clear understanding where we are. But I seem to comment on public when we are doing is not the right thing. This is a confidential conversation. I think probably it's better that I think there were official declaration by the Minister in Spain and also official declaration by AENA during the last conference call. This is my reference point. But from Dufry we don't have any comments.  Regarding e-commerce so we use that we cannot sale duty-free product not because the supplier not allowing us, as because as you know we are bonded areas at bonded warehouses, we cannot sell merchandise online. What we can do is preserve, when you are covering. I think it's having these we can do is if you are asking me, can you sell duty-free products in duty-free online. We cannot do it legally.
Stefan Alb: But is there a way that you can sell some product that you think maybe is not expired but basically is no longer relevant. For example, if it's a spring collection or something clearly that's not going to be in demand. But you can perhaps sell it at on another platform. Even though you are clearing out your inventory, if you could do a write-off and then basically get some of the money back.
Julián Díaz: We have it with the supplier here. 
Operator: The next question from Alexander Kretzler with Barclays. Please go ahead.
Alexander Kretzler: Hello, thanks for having my question. Just one question, actually for the sort of cash burn in April, May. I think at the very beginning of the Q&A where you mentioned that I just didn’t get it actually was that line. I have a noted down that you had an April 20 around CHF 50 million of cash burn. Does that include actually your May figure? Or does this come on top of that?
Yves Gerster: So that's just to clarify again, what we said before is cash burn in April was stated last time CHF200 million to CHF215 million not 50, CHF215 million. Well, it confirmed around CHF200 million that’s for April. For May what we have said before, what Julian mentioned before is about half of April. So it's probably shy below CHF100 million. And the other messages in a no sale scenario CHF70 million to CHF75 million per month.
Operator: The next question comes from the line of Aman Mahal from PGIM. Please go ahead. 
Aman Mahal: I had a few questions. The first is you’ve obviously modeled very smart to the year between the minus 40% and minus 70%. More sales decline or what kind of sales decline you reach free cash flow breakeven?
Yves Gerster: So, it's probably to say look, it's difficult to say. Look it really depends on how you throw off the scenario. But in a scenario where we lose 40% of sales, we already see a certain negative element of cash flow for the year. 
Aman Mahal: Do you have a kind of breakeven decline is then that you are talking 30%?
Yves Gerster: Look, I cannot give you a percentage, and I believe it probably would also be misleading. So, it really depends on how and various draw the line, how you make the geographical splits, etcetera. So, I think it's pretty difficult to give a precise percentage and it's also not the way we looked at our models. We look at the models of minus 40% to minus 70% of this stage, and we were not calculating a breakeven model in that sense.
Aman Mahal: And then the sales can be a stress assumptions for 2020. How are you thinking about will there be an assumptions, also on the size what size that you are working for the quality of service. Now, you're thinking about 2021 in terms of the range of scenarios there?
Yves Gerster: In 2021, what we are expecting is obviously, in the first scenario the 40% that we comment, what we were expecting is late recovery in 2020 meaning November, December and or early 2021. And minus 50%, we were talking about our recovery during the middle to late 2021 and minus 70%, we will be talking about a full recovery in 2020. Those are the bases that we have been to.
Aman Mahal: And then just one final question. I guess you told us a little bit in terms of the April and May cash burn, but just thinking about working capital expenditures. If you look at the full-year and you see its CHF20 million improvement year-on-year. But where do you see peak working capital year-on-year in terms of cash burn?
Yves Gerster: So, look it's obviously depending on the scenario and the assumptions -- the underlying assumptions, but you can assume that it's in the first half of 2020. So basically what you can assume there is a certain shift because we started to stop purchasing at some moment in Q1. But obviously, with already being partially in the crisis, so the peak in that sense is obvious in the first half and then the effect shows or is expected to fade out overtime.
Operator: The next question comes from the line of [Zuly Mata with Aberdeen Standard]. Please go ahead.
Unidentified Analyst: Hi, good afternoon. I'm just coming back on the working capital question. I think you have a positive network and get to a position in that scenario inventories and receivables are exceeding quite largely your payables. And so I think in most people's mind, if you have a business that's generating half of the sales used to do, you should be able to release some cash from that working capital. So it would be difficult for me to understand why you would want to have a similar value of working capital going into 2021, when your business is going to be what it is. And you're only expecting like a mod recovering only going into a full speed in 2022. So my assumptions would be you be sending most inventories as you can in ‘20. No rebuilding any real stock receivable from trade, wood and wind as well. So you should be seeing some caching for from. I'm struggling to understand why you would not see that. Thank you. 
Yves Gerster: I even say so. What I said is regarding 21 [indiscernible] as I don’t remember all the fact. In terms of 2020 what I answer. And in terms of 2020, we went to maintain -- We would like to maintain the same level in value of the networking capital minus the 20 million that we want to improve. Regarding 2021 theoretically this is correct but we need to obviously ask with the intended information. Theoretically is correct but think about if you have for certain levels of sales you need to buy merchandise and this is today uncertain. What is the type of merchandise where we need to buy? We have the number for 2021 but again is less concrete and less specific but in terms of 2021 at least I didn't answer the question because I said we don't have the information here. If there is obviously an interest in showing the investor relations department follow up questions. These data was 2020.
Unidentified Analyst: Okay. But if you exclude the product that customers want, I'm not sure what your scenario entails in terms of recovery in terms of sales, but you would be going into ‘21 of stopped, right? If you had the same amount of working capital going into 2020, going into 2021?
Yves Gerster: It depends on obviously on the inventory that you said, not all the inventory has the same rotation in days. The most important thing is what is the inventory that this company is going to need intention not the values obviously the amount, if in terms of the quantity and the type of product and we don't know, nobody knows yet. In previous crisis, as I mentioned this before, the most accelerated or what were the first recover was the core categories, tobacco, spirits and perfume and cosmetics and other categories fashion, luxury and luxury products in general fashion. There was obviously more as low in now, and this is an important part because of the part of the inventory social for calculating in 2021 the sales independent, the volume of sales that it will be in any case below 2019 as I said, the recovery is expected in 2022 you need to really know how these different product lines are going to be impacted due to the crisis. If we are talking about tobacco, spirit and fashion and cosmetics, we have an advantage because the investment in networking capital in these product lines is lower than the other family the other product lines. But we don't know yet, except in many case, for financial information, we have a number obviously we have projected and will be communicated by eventually if you have interest. 
Unidentified Analyst: Okay. And just on the CapEx so that you said about 140 CapEx cut. So just for our modeling purposes CHF100 million is a reliable path to think of for CapEx this year. 
Yves Gerster: Imagine that we situation is not recovering. And to what I said is if situation is not recovering, we are going to invest around CHF55 million to CHF59 million from the moment the crisis is started to the end of the year and that with all added to what we have already invested will be around CHF80 million CHF85 million. If the situation is normalizing in the sense that we are having obviously sales not the level that probably we would expect the CapEx compared with previous year we have today a possible saving of CHF114 million as our projection.  But in a very low case scenario you have to model around at CHF80 million CHF85 million in CapEx. In a normal circumstances is last year's CapEx is minus 140. But all depends on the circumstances. The situation is like today is CHF80 million total.
Operator: The next question comes from the line of Linda Pasquini with Reuters. Please go ahead.
Linda Pasquini: Hello, I just wanted to ask, I think you mentioned in March about reducing personnel. If you're planning further reductions in staff. And if you could going to have a indicative number about how many positions have been helped? 
Yves Gerster: No. I don't provide this information at all. It is confidentially totally. I mean, it's obviously one of the most valuable information for employees. 
Operator: The next question comes from [Gail Mojave with Walna] market. Please go ahead.
Unidentified Analyst: Hi, thanks for the call. I just have a small, just one question. And it's regarding your precision portfolio. I want to know if you plan to exit some of your existing contracts. For example 17% of your contracts have like one to two years of life remaining. So I thought it would be appreciated to perhaps execute without paying any penalties. So just what your thoughts around that. Thanks.
Yves Gerster: We are not today -- we are not planning to exit any contract. Because if the contract has one two years is the right time for starting our renegotiation for extending the contract. In principle, the answer is no. But only the reality then if there is no negotiation maybe. But today the answer very clear answer is no. We are not planning to rig of any of the concessions today.
Operator: Next question comes from Iva Horcicova, Napier Park Global Capital. Please go ahead. 
Iva Horcicova: Good afternoon. And thank you for taking my question. Could you please comment on what you see in terms of rebounds in Asia? I know that your presence there is not huge, but what do you see there in terms of increasing passengers it will be really helpful. Thanks. 
Julián Díaz: We don't have any positive news from Asia. The only thing positive is probably in the domestic business we have in China. We have seen a slight increase, but not significant are delivered to say anything in the rest of the locations a similar then --. 
Operator: We have a follow up from Mr. Jon Cox from Kepler Cheuvreux. Please go ahead. 
Jon Cox : Yes. I just have a couple of points of clarification. Just on the -- you mentioned the personnel costs. Did you say they would be 20% of last year? Or did you say down 20% from last year, if you are down 40% for the years old? 
Julián Díaz: It is down. 
Jon Cox : Down 20 and then down 35 if it was down 70 and same for the other down is 26 and then down 14? 
Julián Díaz: Yes, down. 
Jon Cox : Where is the concession fee was a share
Julián Díaz: Percentage on turnover. 
Jon Cox : Okay. And then you also mentioned, I thought you were saying, if your sales continue down or 70% you could last and you talked about in the next cash flow cycle. You can last until Q2 next year. Is that what you were saying? 
Julián Díaz: Exactly.
Jon Cox : Okay, that's your assumption. 
Julián Díaz: Exactly that. 
Operator: The next question comes from the line of [indiscernible]. Please go ahead. 
Unidentified Analyst: I have a question regarding the rescue loans from governments. I think last call you mentioned that you were potentially eligible for up to CHF180 million from such government rescue loans or grants who own the subsidiaries combined. Can you please update on where you are on this? And if you have a slice for some of them, do the amounts reflect your estimates of up to CHF180 million? Thank you.
Yves Gerster: Thank you very much for the question. So, what we have at this stage we looked into a number of opportunities. We currently have around CHF60 million to CHF65 million, which we have agreed with governments. As you have rightly pointed out, the potential is probably the area opponent of CHF180 million, CHF200 million, but look again the liquidity and we have been unable to safeguard over the last two weeks the CHF1.6 billion in total, i.e. new facilities and existing ones we have on the balance sheet is from our perspective sufficient to navigate through the current crisis. If there are additional opportunities, we are obviously look into that, but we don't depend on it.
Operator: We have a follow-up question from Mr. Stefan Alb from Sierra. Please go ahead.
Stefan Alb: Just a quick clarification because I have just to thinking ahead to understand. So the personnel costs will be 20% down in absolute terms in the 40% scenario or 20% of sales and it was pretty.
Yves Gerster: Maybe this is a misunderstanding here. In the scenario minus 40% different special expenses to we will use is what I said by 20% on -- scenario and 70% minus 75% is what I said. And under 50 million maybe there is a misunderstanding.
Stefan Alb: I appreciate that. It must have been my misunderstanding. And then there are some inventories that are on caught on shipped from your new, cruise line initiative, those are probably not quite in the same bonded inventory level or are they? Could you be able to liquefy those? And what benefit could you get from those? You know, like the question before. I'm also thinking that perhaps there is a way that you can maybe have the opportunity to have sort of a better mix at the end of 2020 in terms of products that you clearly more skew towards tobacco, liquor, et cetera, which will sell better in 2021 and perhaps an absolute level decline in value. There could be some also some deflation in prices in the different products as well that could help you. 
Julián Díaz: Okay. I think in terms of the cruise lines, the inventory is obviously combination is blended that had a significant part that related with the ships is related with branded merchandise and this is merchandise that will be there. And as you probably know, these cruise lines are planning to reinitiate different line around August and this is officially permission. I don't know if specifics yet, but I got in the rest of the inventory I already mentioned, is we’re really not the inventory that first of all we identify based in a solid sense, based in explanation and this is already in the process. For the rest of the inventory we prefer to keep the inventory and the subway open because as you know these type of companies always in the networking capital, why because obviously the delivery times and the distribution is not like in the domestic market.  We need to be sure that we are not losing one single opportunity of sales because we are wholesaling, merchandize XY or whatever. The strategy today is clear. We prefer as far obviously as we really open it, we prefer to keep the inventory for selling the inventory in the shop with higher margin and obviously you should do opportunity of selling merchandise when the customers will go through. For the rest I finished another business we are a retail company. 
Stefan Alb: Thank you. And that question that was before about whether it's zero sales or maybe 20% or 30% level of sales, is it fair to say that once sales go up, your networking capital -- sorry, your cash burn actually should decrease? Can you confirm that? So if we have some kind of positives or it depends on the geographies? 
Julián Díaz: No, it not depending on the geographies it is fair to say when the sales go up the depending much will go up. There are different lines of the P&L that will be positively impacted. Especially the lines with the steel fixed cost because the percentage of increase and the time will be important if its 5% to 10% when you say U.S. we are talking about 40%, 50% increase completely different in the scenario. What I get here is the cash burn scenario that has been planned agreed with the different departments is number one set of sales scenario. And number two is the three scenarios that we mentioned before from 40% to 70% including the 50% in the middle. And in those -- in all these scenarios, the situation with the financing structure that we have implement is solved. Then if it is 10% or 20% I cannot tell you now. I don't have a clue, but the reality is that 40%, 50% and 70% minus in sales are covered completely. And the only one is the cash burn set of sales scenario is already covered. Then we see and we will adapt the company to the reality of the situation. This is one of the things that I mentioned before, especially during the fiscal when we were talking about the crisis in Asia at that time.  We said one thing that is still very valid. The most important thing now is flexibility and adapt the organization to the reality of the business. This reality of the business is still uncertain. And to say one thing is specific is very difficult. We work with the scenarios. If tomorrow the day after tomorrow, we see that the sale are minus 40%, minus 50%, minus 70% we have a plan. If it's minus 40% we have another plan. But this is a completely different story depending on the circumstances. What I want to say is flexibility, implementation of our flexible cost structure and adaptation of the new business is what we are trying. More than that, I don't know. We don't have more information. 
Stefan Alb: Understood. So basically I guess if I understand it. If we were down minus 70%, let's say, one of the worst scenarios to three. The cash burn might be higher, but you have the flexibility to take additional measures at that point to try to make you stay within your guardrails of the CHF70 million, CHF75 million. You will do more.
Julián Díaz: It is definitely different. 
Operator: The next question is a follow-up from Rebecca McClellan with Santander. Please go ahead, madam.
Rebecca McClellan: My question is just two things sort of addressed. In terms of your scenarios, I'm assuming you've incorporated all of the sort of government support or potential government support that is possible for the business. 
Julián Díaz: The government support is positive for the industry, the answer is yes. 
Rebecca McClellan: No. I must say, in your current scenarios, that they incorporate all of the possible support that you could get right. 
Julián Díaz: In 2020. Yes. 
Operator: We had another follow-up coming from Mr. Alexander Kretzler with Barclays. Please go ahead.
Alexander Kretzler: Yes. Hi, thanks. Just one quick question actually on the state aid or the state loans. And you said CHF60 million to CHF65 million were already agreed in. So does that mean you're actually drawing or basically using these facilities? Or you still think that the liquidity at the current level is sufficient to reach your goal of second quarter 2021. 
Yves Gerster: So as I've mentioned before, the facilities we have in place either CHF1.6 billion is sufficient for the group. Nevertheless, we have CHF60 million CHF65 million equivalent of government supported facilities. And in the cases where we have them, we have also drawn onto those facilities. So that's the way they work actually. So they don't work as an RCF, which we just committed but we don't drawn on it. 
Alexander Kretzler: So then how do they rank actually versus your other credit facilities?
Yves Gerster: Look, I cannot go into the details of that. 
Operator: Your last question for today comes from the line of Mr. Edouard Aubin with Morgan Stanley. Please go ahead.
Edouard Aubin: Yes, hi, gents. So just a once smaller follow up from -- on the capital structure. So, you went into this crisis with quite a bit of debt on your balance sheet, I guess a CHF3 billion. Going forward, if we look at the medium to long term, what kind of optimal kind of capital structure do you envision. Do you see lower leverage than the, again the CHF3 billion you had previously and obviously would that mean that, we should not expect any dividend payment for the next 3, 4, 5 years out? 
Julián Díaz: I think the dividend payment has been suspended due to the circumstances, either circumstances improve I think the dividend payment will be reinitiated, number one. Number two, regarding delivery this company has been in a certain level of leverage, depending on acquisition, as you know, and obviously due to the circumstances to mention on acquisitions now is probably no diversification scenario as a consequence, but I think the company will plan for the next two years and see this is depending on the visibility is to try to reduce the level as -- the level of 3 times to 3.5 times as we said in the previous, obviously in the previous slide where we were talking about a different scenario, I can maintain the same thing.
Operator: That was the last question. I'd now like to turn the conference over to Mr. Diaz for any closing remarks.
Julián Díaz: Thank you very much, and thank you for all the participants and the questions.